Operator: Greetings, and welcome to the International Money Express Inc. Second Quarter 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mike Gallentine. Thank you, Mike. You may begin.
Michael Gallentine: Good evening. Before we begin, let me remind you that this conference call includes forward-looking statements, including our third quarter guidance. Actual results may differ materially from expectations. For additional information on Intermex, please refer to the company's SEC filings, including the risk factors described therein. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today. I refer you to Slide 2 of our presentation for a description of certain forward-looking statements. We undertake no obligation to update such information, except as required by applicable law. On this conference call, we also have a discussion of certain non-GAAP financial measures. Information required by Reg G under the Securities and Exchange Act with respect to such non-GAAP financial measures is included in the presentation slides for this call. These slides can be obtained at the Investors section of our website, intermexonline.com. I also refer you to Slides 13 through 17 of the slide presentation for a reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. On today's call, I'm joined by our Chairman, Chief Executive Officer and President, Bob Lisy; and Chief Financial Officer, Tony Lauro. Let me now turn the call over to Bob.
Robert Lisy: Good evening, and thank you to our analysts and investors for your participation in tonight's earnings call. Before I begin my formal remarks, I would like to offer my continued thanks to our dedicated and hardworking employees, our agent retailers and, of course, our loyal customers. I'm extremely proud of the resolve and dedication displayed at Intermex every day, especially amid the challenging times we have all experienced the last few months. We hope everyone is well and that we can all emerge from this crisis in the near future. We'll start on Slide 3 by highlighting the record financial performance that Tony will speak about in greater detail later. We were able to grow revenue by 3% year-over-year. And more impressively, we grew our net income by 27% to $9 million. As a result of our efficient and durable business model, we grew EBITDA by 7% versus last year. Adjusted net income increased 13% compared to last year and helped drive free cash up over 16% to $10 million compared with the prior year quarter. We are proud of these strong results when you consider that significant areas of the country were essentially closed down for much of the quarter. Let's go to the next slide to talk about some of the keys to our ongoing success. As you heard me say many times in the past, Intermex has been built as a house of brick. We believe that, that fact is a key aspect of our story and a key reason why we're able to consistently deliver strong results. This philosophy is ingrained in everything we do, and we believe that it sets us apart from the money remittance industry overall. Most importantly, Intermex has always taken an approach that drives profitable and sustainable growth. We have executed this strategy in our legacy markets, and it will guide us as we look towards delivering future growth. The pursuit of profitable and sustainable growth has enabled Intermex to build a differentiated business model that has proven to be resilient through difficult and challenging times. We leveraged our profitability to invest in industry-leading customer service and technology, which are critical components to our winning formula. Intermex also takes great pride in our unique approach to agent recruitment. While many competitors focus on ubiquity and exclusivity, we focus on agent productivity and ultimately, profitability. Our highly targeted and metrically based strategy recruits and activates agents in precise geographies, down to the ZIP code level where our customers live. Our approach to agent recruitment feeds directly into our profitable and sustainable growth philosophy. It has proven its ability to deliver strong results regardless of market conditions. Our state of the art technology enables agents to process transactions faster with greater ease and efficiency. This is a critical differentiator, given that the majority of the agent business occurs during the peak times of Friday through Sunday. This creates faster and more efficient process for both the customer and the agent retailer. The customer focus is also apparent in our customer care. We averaged a hold time of just 3.4 seconds, which is incredible versus the competition and even across the other industries. The other very important and related component of our house of brick philosophy is that our model creates exceptional liquidity and superior free cash generation. This liquidity and cash flow contributes to our reputation for customer reliability. And in times of stress and volatility is a significant differentiator. Throughout the current crisis, we have heard from some of our payers that a number of the smaller competitors have had liquidity shortfalls resulting in the receiver not receiving their funds in a timely fashion. Those issues of reliability and inability to pay out remittances timely do not occur at Intermex. And we expect our reputation as a highly reliable provider will continue to drive our success and aggregate market share. Ours is a powerful capitalization model, which is critically important in times of uncertainty, and we have continued to generate cash throughout this crisis. Tony will detail our cash later in the call. But I will simply state upfront that Intermex does not only possess more than ample capital to fund our business as we navigate the upcoming quarters, but we have continued to generate significant amounts of cash. Let's turn to Slide 5 to look at some of our growth drivers for the quarter. I think this quarter, when much of the country was significantly shut down is a great example of how our approach to differentiated business leads to proven resiliency. Intermex increased our customers 6% to 2.1 million and increased our remittances transactions by 3% to $7.6 million compared with the second quarter of last year. If you look at specific months, April was down 7%. As we started to open back up certain states, May quickly rebounded with transaction growth of 7%. This positive trend continued with transactions up 8% in June and 13% in July. This is a great example of the resiliency and strength of our focused business model. We continue to experience dramatic growth in our mobile app, with our customer usage up 600% and our transactions increasing more than 880% compared to prior year period. Again, our differentiated and focused approach to critical service that allows us to perform at this level. Let's move to Slide 6, and I will further expand on the online and other growth initiatives. Our expansions into Canada as an outbound market and Africa as an inbound market, continue to grow rapidly as do our online, white label and card products. In fact, from first quarter to second quarter, these products have combined revenue growth of 78%. In addition to these new products and channels, we want to share with you impressive growth in what we call our Tier 3 markets in LATAM. These are markets for us that are not yet as developed as our Tier 1 markets of Mexico and Guatemala or our Tier 2 of Honduras and El Salvador, yet these emerging corridors grew revenue by 17% from Q1 to Q2. These growth initiatives are expanding rapidly and are meaningful to our overall performance and now representing over 7% of our total revenue. The company's strong financial performance is the direct result of our house of brick mentality. The underlying appeal of our business model with superior customer service and a highly productive agent network allow us to continue to outperform the broader market regardless of the market conditions. We remain confident that our philosophy and dedication to profitability and sustainable growth will drive a significant competitive edge for Intermex during these uncertain times and beyond. With that, I will turn the call over to Tony.
Tony Lauro: Thanks, Bob, and good evening to our analysts and investors on today's call. Turning now to Slide 7, let's walk through our second quarter results in a little bit more detail. Transactions and volume grew 2.7% and 5.3%, respectively, as higher send amounts were primarily a result of increased mix of transactions to Mexico. Revenues of $85.1 million represent growth year-over-year of 3%, driven by the growth in customers and transactions that Bob mentioned. Growing the top line year-over-year during this crisis is impressive enough, but it's a tremendous achievement when you realize we had to grow over an exceptional quarter in 2019, where we delivered 17.5% year-over-year growth as compared to 2018. Adjusted EBITDA growth of 6.8% outpaced revenue as we continue to get leverage from migrating to lower cost deposit services and negotiated payer fee reductions. Adjusted EBITDA margin for the quarter topped 20%, exceptional for a public company our size. Additionally, we delivered record net income of $9 million, an increase of 27% compared with the prior year period. Driving this increase was the adjusted EBITDA growth I just noted, coupled with lower depreciation and amortization and interest expense. We will continue to see lower amortization as the intangible assets recorded in 2017 runoff on an accelerated schedule. Let's now look at our superior liquidity and free cash position, key aspects of our house of brick approach. On Slide 8, you'll see that we generated $10 million in free cash this quarter, a 16.4% increase over the same quarter last year. These figures reflect the conversion of adjusted EBITDA to free cash of 58% after taxes, investments and debt servicing. Our business model, which combines strong margins and a variable cost structure, where 80% of our costs vary with transaction volume has proven itself throughout the crisis and throws off capital even in times with slower growth. Turning to Slide 9. Let's look at the efficiency of our adjusted EBITDA conversion to free cash. In Q2 of this year, we converted close to 58% of our adjusted EBITDA to free cash, which we're extremely proud of. This represents growth of close to 5 percentage points to the conversion rate over the same period last year. We feel that our profitability and free cash generation are differentiators that strategically position us and fuel future growth in the quarters and years ahead. Let's turn to Page 11 for our final prepared comments. While the COVID-19 environment has definitely created uncertainty in our future results, we currently expect to generate third quarter revenue of $88 million to $91 million and adjusted EBITDA of $17 million to $18 million. This assumes we do not see a significant worsening of the pandemic. In closing, I'd like to say how proud I am to be a part of this community. Our employees and agents continue to bravely work to provide a service that is so essential to our customers who are just as bravely working in industries that are keeping America fed and keeping the economy going. Thank you all. With that, let me turn the call back to the operator for questions.
Operator: [Operator Instructions]. Our first question is from David Scharf with JMP Securities.
David Scharf: Hope everybody is well and staying safe. Bob, I was wondering, obviously, the results were exceptionally strong. I mean, we're seeing a very resilient consumer. Can you give us an update on how the pandemic is impacting the ability to open new agent locations? And kind of what -- and obviously, we can't predict precisely how severe it's going to get. But maybe if you can give us a little bit of update about how you potentially see the next 12 months unfolding in terms of expanding the map?
Robert Lisy: Okay. Well, I'll begin to answer that question, and then I'll turn it over to Randy, who's joined us on the call as well today, Randy Nilsen, our Chief Revenue Officer. So obviously, it's not as easy to activate agent retailers from headquarters or from our sales reps' homes as it would be if they were out in the field. I want to first point out that our -- most of our sales team, and that's really with few exceptions, are back in the field, There are certain areas and hotspots where our sales reps are not working these days. But for the most part, in areas that are not terribly affected by the pandemic, they're back out and working and making retail calls. But even during the worst of the pandemic, even in days when our sales team were inside, we were still able to activate new agents in significant numbers, certainly not at the levels we would like to and not at the levels that we've done previously but in significant numbers. And we did that because we have a third-party shipping company that ships the equipment out. We're able to do all the training basically over the phone. We've been able to really keep the business really active and working telephonically with most jobs that are portable, sales jobs being probably one of the least portable jobs. But we continue to activate agents. Now when we look over the next 12 months, we expect if things continue as they are today, that we're virtually back to our regular process of adding agent retailers. And as things begin to get better, then we expect to be able to even do better and continue to make new hires and continue to add to our sales group. With that, again, we're not going to talk about specifics, but I'll let Randy paint a little bit more color on how it's gone over the -- we're basically inside, I believe, Randy can correct me, but about 2 months -- 2 plus months with our sales team when they weren't making outside calls. So I'll turn it to Randy for a little more color.
Randall Nilsen: Thanks, Bob. Yes, for the second -- the last two weeks of March, the month of April and most the first two weeks of May, we have almost all of our sales team working from their home offices. Since then, as Bob mentioned, almost all of our sales team have been out working, making in-person calls in the field. From time to time like states like Florida, Georgia, where things get hot, and the cases are indexing particularly high, we'll pull them in for a week or two until things slow down a little bit. But with the exception of April, we really did stay the course pretty well with respect to our agent activations. And I need to really call out our Northeast region. For the second quarter, they came in at 123% of their agent activation targets. And as you know, New York, New Jersey were the ones that were really working from home for most of that time period. And they found a way to continue to activate agents just by following up on agents that were in their pipeline, as well as working the phones doing telesales. So really proud of the sales team working from home to still activate agents. But the short answer to your question, David, is we expect, as Bob said, if things stay the same as they are now, to be right on course, activating agents as we normally would have.
David Scharf: Got it. No, that's very helpful. I mean, certainly clear here that all sales people are in the field. Maybe just 1 follow-up then I can get back in queue. Obviously, the last 2 reporting periods, there's been much more discussion and disclosure, not surprisingly, by your public competitors as well on the trends in digital and mobile. I guess it's a 2-part question. One, Bob, is whether or not typically the lower average price point on some digital transactions is impacting your corridors it all. And then more broadly, if you could just expand on whether or not there has been any evolution in your sort of take on whether the Mexican and Guatemalan inbound markets may become more amenable to digital processing than they have in the past.
Robert Lisy: Okay. Sure. I think the first part of the question was if there was an effect on pricing from the increase in online. I think that there's a pretty bright line between the online pricing and the retail pricing. I think they are two very different customers. Now to kind of talk about do customers in some cases move from brick-and-mortar to online and stay there permanently? I'm sure that happens at times. And there are people that move back and forth between. But I don't believe the reflection of what online pricing is can really be projected onto the brick-and-mortar pricing. And so from our perspective, we're not seeing greater pricing pressures on the brick-and-mortar side of the house than we've seen before. And in some cases because I think that these times have put a little bit more stress on certain companies that are our competitors, and those aren't the big guys that you know of, not the public companies, but the smaller guys have been quite competitive in retail, they probably have been less prevalent in terms of aggressive pricing at retail than they were prior to the pandemic. Remember, you've got some slowing. Mexico, we haven't seen grade slowing, as you know. But in some countries, like El Salvador, Honduras and others, Guatemala, even countries like Colombia and Dominican Republic, depending on where people's percentage of business lies, we've seen dramatic double digit, 20s and 30s for a couple of months there, that really put the companies that were less stable financially into difficult spots because they need pretty much every wire because they really struggle. So from that perspective, no. From the perspective of Guatemalans and Mexicans, I think we saw a surge as an industry overall. And then we saw a surge in the leveling of people that converted to online processing and doing their wires that way at the outset of the pandemic. We haven't continued to see that surging relative to what we think we could attribute to the pandemic because we're doing work in growing that business. We recognize that over time that the business will move more and more to online. We just disagree with maybe some of the extreme percentages. I think that today, it could be 15% to 20% of the countries like Mexico and Guatemala could be online. Low end, probably 15%, high end 20%. But we think that will continue to grow. But we think it's a long time before the brick-and-mortar is a smaller percentage of the overall business. As a matter of fact, I don't know what that foreseeable future is, that could be 5 to 10 years down the road. Now having said that, as you know, we continue to work really diligently on our online product. What we don't do is really try to convert people from brick-and-mortar who are happy at brick-and-mortar to online at great expense. But we continue to recruit new people to our brick-and-mortar -- I'm sorry, to our online business that we feel is in great competition with all the other people that are online. And we think that, again, with Mexico, Guatemala and other countries where we have great know-how, where we have call centers that are situated in the right countries, with the right language capabilities and the right cultural capabilities that we become a threat to other people's online more than the online is a threat to our brick-and-mortar over time. So we like our position. We think we're -- given the fact that the online has been continuing to grow, we think we continue to take even a bigger and bigger share of the brick-and-mortar, and we think we'll continue to do that as we continue to grow our online separately from that.
Operator: Our next question comes from George Mihalos with Cowen.
Philip Caldwell: This is Philip on for George. I was just wondering, so the Mexico market looks like it grew about 3% based on the Banco de México data. And historically, Intermex has outgrown the Mexican remittance market in terms of transactions. Can you just talk about the puts and takes from this quarter? And do you expect to return to outperforming the Mexican market on a go-forward basis?
Robert Lisy: Well, we did outperform the Mexico market on a quarterly basis. It wasn't by a large measure, but when you start to get it big months that were negative early in the quarter, then you'll see that those numbers will be smaller in terms of their deviance. But from a quarter perspective, we did outperform slightly the market to Mexico by a couple of percentage, about 1.5%. And we expect that to continue. We expect to continue to outperform the market.
Philip Caldwell: Okay. Great. And then did you -- historically, you've talked about, if you see volatility in the Mexican pesos that you kind of see a pull forward in wires coming through. Did you happen to see that this quarter with the volatility going on in the peso?
Robert Lisy: No. I mean, we did not, not the kind of volatility that happened -- that volatility usually tracks relatively closely to the U.S. economy and particularly the stock market. And when we saw the peso with great variances was in late March and in early April when we saw these big swings in terms of the market and day-to-day announcements about COVID, shutdowns, whether -- what the death toll was going to be. With every announcement, there seemed to be a reverberation in the stock market. And when that happened, there seemed to be a greater reverberation in the Mexico market. For the last a couple of months, it's been relatively. There's been some movement, but nothing like -- I mean, we never saw a movement in the peso in percentage-wise, that's certainly not in absolute dollars, pesos per dollar. But in percentage-wise, like we saw in late March and early April and sometimes where overnight, it wasn't fluctuating centavos, actually fluctuating in terms of pesos. And that's really not been the case over this -- most of this quarter has been relatively normal fluctuations day-to-day.
Operator: [Operator Instructions]. Our next question comes from Mike Grondahl with Northland Securities.
Michael Grondahl: Congratulations on growth in the quarter, that's pretty key and pretty successful. At the March, April time frame, I think you said 95% of your agents were open. Have you gotten all of them open? I'm just kind of curious how that trended. And then maybe secondly, any states or regions to call out that you -- that kind of just outperformed?
Robert Lisy: Yes. I mean, I'll let Randy answer the agent piece first. Randy, I mean, what are your thoughts in terms of agents open?
Randall Nilsen: Yes. Mike, when we compare April and May and June to March's level of agents open, April was significantly down, as you noted, about 95% of March's active agents. May, we jumped back to almost 100%, about 99%. In June, we were actually performing at about 101% of March's active agents. So we were -- we had more agents actively selling in June than March.
Robert Lisy: And then, Mike, I think as far as areas, I mean, we don't want to talk about states, but I think people can understand how hard-hit certain areas of the country were. And the Northeast, we think, as Randy called out earlier, recovered remarkably well. We really haven't seen that kind of -- we've seen from time to time little disruptions in California, little disruptions in other areas. But the Northeast, particularly centered around New York, we saw our business down quite a bit in the beginning of the pandemic but it recovered quite quickly. And even as far down as it was, it was remarkable. The amount of business that we retained even in the worst days, I think we were maybe down 25%, 30%. But when you looked at New York at the time and the level of shutdown, it was really a tribute to, I think, the dedication of our agents, the resiliency of our customers and the quality of our brand. And all those 3 things kind of held up throughout, and it recovered, I think, quicker. Now I think the Northeast has been probably one of our strongest regions, but we haven't really had big problems in any given area. There's been other areas of the country that have been relatively unshaken by the pandemic. I mean -- and when I say that, I mean relatively, that really haven't had much, I think, of a slowdown. But generally speaking, we've been pretty solid throughout the country. I just wanted to take a minute to clarify too. The Mexico numbers I looked at and for the quarter, I think that we ended up a little bit better than the -- the Mexico numbers reported for June was 11% growth, but they had a minus 2%, this is the country number and a plus 3.5%. So I think, as you said, for the quarter, it's about a 3% growth, and we are a little bit better than that overall. We were about a close -- a little over a 4% growth for the quarter, so we did outpace the market. Our early July, of course, we don't know what the numbers look like in the industry, but we continue to see stronger numbers coming back in all other countries. And our overall growth in July looks like in excess of 13%. So we're seeing every month getting better. And we talked about -- a little bit about that in the text earlier that we went from a minus 7% -- this is overall, in April, all the way to a plus 7%, a plus 8%. And now the July numbers were a plus 13%, and we think August actually has an opportunity to be even better than that. So we're clawing back a little by little to get back to that a 20% growth number year-over-year that we're really comfortable with.
Operator: Our next question comes from Josh Beck with KeyBanc.
Alexander Markgraff: This is Alex Markgraff on for Josh. Just as it relates to some of the operating levers that you saw this quarter, can you just kind of -- I know a few drivers were touched on, but just kind of what was most notable? And then looking forward, how much of that leverage is onetime in nature? How much of it is lasting? I think some of that is evident in the guide, but if you could just elaborate, that would be helpful.
Robert Lisy: I'll let Tony get into specifics. But I mean, the first part that I want to touch on is that over the previous quarters, sometimes we get a little bit of, I guess, disappointment from some folks that maybe our growth wasn't where they thought it would be. And we've always talked about that growing faster is not difficult. But the one thing that we've built our business on is sustainable and profitable growth. And what we did through the pandemic and what we've been able to produce over the last several months has been as much attributed to the way we built the business, and it has been to what we did over the last several months. So to answer that question without saying that really won't take into account all of the facts because it isn't about us going and chopping a bunch of expenses for one-time to make a number. If it was that easy, then our competitors would do the same thing, right? And we're not necessarily seeing the same results there. So it is a fact that this business has been built on a very stable foundation that has not really -- doesn't have a lot of unsustainable, unprofitable growth. And because of that, when things change and things go down a bit, we're not highly leveraged as a company, and we're still able to sustain those growth numbers. We got a little bit more efficient. And I don't know if there's a lot we want to call out, I'll turn it over to Tony to talk about that. But I think a lot of it is more really -- is really significant from the standpoint of what kind of business we built than what we did in the quarter or what we did in Q1 because it's an ongoing thing, right? So it can't be for one time. In Q1, we had 23% EBITDA growth versus, I think, a competitive field that didn't do nearly as well. In Q2, we have 7% EBITDA growth in the height of the pandemic against a field that didn't do nearly as well. So it's already not a onetime. But Tony, I don't know if you want to add to that a little bit?
Tony Lauro: I do. I do. So there are -- I'll call out 4 areas of efficiency or cost savings. 2 of them are a direct result of our ongoing efforts to be a more efficient business. And those are the ones that were listed in the presentation. So one is our banking fees or deposit costs. And those are driven by volume like dollars remitted. And they grew at about 2%, and our dollars remitted grew at over 5%. Those kinds of savings because we migrate agents to lower cost deposit methods, will continue to go on in the future until you're jumping over the same year after you've migrated the agent. The second is on payer costs where, one, we actively are negotiating with our payers on a monthly and quarterly basis to get better rates and help our customers move to bank deposits, which are cheaper for us when the money gets deposited into an account versus cash pickup. And as we continue to grow and get bigger and move up the lead cables, we get more pricing power on those. So those will continue. And those are the 2 most material. Separately, the nature of the pandemic in the second quarter, particularly at the beginning of the second quarter, we weren't able to hire perhaps as quickly as you would have expected or budgeted for us to do. So salaries were down. That will slowly catch up to where we've had a lot of success in hiring in the last couple of months, and that will slowly catch back up from a run rate perspective. But the savings that we realize will be in the bag. Similarly, travel, as we shut down, as Randy mentioned, we shut down the field from traveling for the first 1.5 months, almost 2 months. We reaped travel savings. Now travel isn't exactly back to normal. Like, for example, Bob and I are not flying around to investor conferences and things like that. So we will have -- we will run travel at a lower run rate, but it won't be shut down the way it was in March and April. So those are the things I'm happy to call out. And I will say, like we continue to deliver these efficiency initiatives to help fuel investments in future growth, and we'll continue to do that.
Operator: [Operator Instructions]. We have one more question from Daniel Bella Hessen [ph] with Columbia Threadneedle.
Unidentified Analyst: Guys, I hope you're both well. I really appreciate the little bit of color you shared about the hyper local focus and expanding upon that. I think it's really misunderstood driving your competitive advantages here. I'm most interested in how you guys can use this time to set the business up over the long term, particularly around share gains and how much share is up for grabs. You've spoken in the past about some of the aggressive price discounters on the brink of failure. Is now the time to put your foot on the gas? Has some of that part of the industry played out the way that you expected? And similarly, from the field work we've done, you've really created this local kind of community effort that's driving the agent network. How much of the value proposition is in that local approach and the strong relationships that the new agents create in the communities, of course, driven by the incentives that you and the managers lay out for them, kind of hampered by COVID? And is there a way that you can continue the playbook and allow you to continue expanding the agent network the way you normally would? Or are things kind of put on hold at the moment to some extent just given what that playbook usually looks like and the feet on the ground that are required?
Robert Lisy: Okay. That was a long question, I want to make sure I answer it properly. I think the first part that I really grasped, and I think was maybe the lead part of it is, we are spending a lot of time on positioning ourselves for the future. And that doesn't just include our presence at brick-and-mortar or how we go about brick-and-mortar. We think that we're doing really, really well at brick-and-mortar. We think that when you think about the fact that we're growing faster than the market in every one of our key countries, and significantly in many of them, while there's business still migrating in that, most of the marketplace, even some of the key competitors that are the lead players in the public market recognize that most of, if not all of their growth is coming from online, we recognize that in brick-and-mortar we're continuing to take share every day. But that's not enough for us because we recognize that we don't want to continue to be a bigger and bigger player in a smaller market as a percentage of the overall market than it was the previous day. So along with that, we've also grown our online business significantly, and we continue to spend time positioning that with both quality related to our quality of service with our online product. What I mean is really the front-end technology of it, the back room quality of service is the same, which we believe is industry-leading relative to our customer service on the back end. But the front end of that, along with our going after and tackling greater market shares online. And we've been positioning ourselves with that, as well as you know -- may or may not know about our card product, which we believe is also a differentiator, and it's a new vertical for us that kind of bridges a bit of the gap between brick-and-mortar and online where we're actually empowering, creating the opportunity for previously unbanked consumers that have been relegated only to retail brick-and-mortar, to have the opportunity to go to online if they'd like to. We've spent considerable time in the last 3 or 4 months positioning those. We're in the process of bringing in quality hires. We just made a hire to a person with significant background in the online business that will be joining us relatively soon. We're not ready to make an announcement yet, but we believe we've come to an agreement for that person to come on board. We're investing into recruiting a online marketer that can help us build that business. We've been investing heavily into our card product. Doing all these things and these investments, at the same time that we're continuing to invest really strongly in brick-and-mortar because we do recognize the weakness, and we don't want to call out any competitors, but we know of some quite large competitors that have struggled through this process, struggled because of some cases, liquidity issues where this drop-off in business has presented them with less cash flow than they normally have, so it's harder for them to make payments on time. And therefore, payers are either ending their relationship or consumers are just not using them because they're not as reliable. But all of that has allowed us to continue to take share there. But as I said, that's not enough. We're really positioning and spending our time in that knowing that the future -- a part of the future, there's a big part of the future that's brick-and-mortar. I know sometimes people don't want to hear that, but there is. But there's also a big part of the future that's online, and we're preparing and actively participating in that as well. And I think this time, we've used to do that. We've used this time to also take a look at our -- as any company, even though we're a smaller company, over time there's inefficiencies that get created. I mean, sometimes analysts and investors think, well, once you get to the efficiencies and it's a onetime thing. No, it's an ongoing thing because inefficiencies get recreated. It's like a spine. It gets back out of sync, and it needs a good lineup. And so we continue to do that on an ongoing basis. We've really started out -- and our objective on this when COVID started was to say, we want to make the turn of the year, the first half of the year, we want to make that turn more profitable than we did in 2019. And what we ended up doing is making that turn, I think, at about 13% up in EBITDA, at the turn and up dramatic -- relatively dramatically compared -- considering there's a pandemic out there in terms of revenue. So our objective was to continue to excel, take share at brick-and-mortar and then prepare for -- use this time to prepare to be stronger and better with our new products and new verticals. We've even, during this time, have looked at and nothing's materialized because we're not going to force things that don't make sense. Well, we looked at 2 or 3 acquisitions. And we still think there might be great ways for us to acquire new verticals that will add to our business that will be verticals that are not unrelated to what we do, but are different enough that will be very good mix for our current business. So we're actively looking at all that, building our team, bringing in quality people and focused on the future as well as understanding that we've got a great opportunity to take share at brick-and-mortar today.
Unidentified Analyst: That's really helpful. And Bob, on the online portion of the business, is the hyper local focus that's been such a compelling part of the customer and agent value proposition as relevant when you guys think about what the online business will look like, not just today, but down the road?
Robert Lisy: We're looking at things that we can make some other relevancies present. It's not the same because it really is generally 1 price online. So whereas it's down to that ZIP code level and sometimes the corner of the street level in terms of pricing, that doesn't really exist. So it does relative to country differences, but we all know that. So it will be a little different. But I think our objective is to make sure we've got an online product that works well. Our business has grown dramatically. But we feel that our brick-and-mortar offering with its speed, its reliability, its ease of use is state of the art. And that's what our objective is with our online business. So we continue to reform -- sort of refine that and build that to be better and smoother and faster. And you'll see us continuing to invest in that in ways that will be different than brick-and-mortar, but in the same way that we want to have the very best offering possible.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Bob Lisy for closing comments.
Robert Lisy: Yes, we'd like to thank all of you, investors and analysts, for joining us on the call. We hope everyone stays safe. I do like to take my hat off to 3 groups of people. First of all, our employees, who've done a tremendous job through difficult times. Many of them in jobs that have never been previously portable and done a great job in the portability of their jobs and continue to make sure that we put our customer at the utmost. Our sales reps who are back out in the field and are working with our agents very closely and are doing a tremendous job. But also our agent retailers, many of which, like we said, 95% that remained open as essential services and really were the conduit to so many people here working in the U.S. to send money back home to their families. And then, of course, our customers who I can't have more respect for the resilience of that customer. And in many times, really supplying for all of us, critical services with agriculture, product refinement plants, all the types of things that we need as critical services. So I want to thank those 3 constituents. And it's been a great quarter. We hope you all stay safe, and we'll talk to you all soon. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.